Wushuang Ma - President and Treasurer:
Preston Wigner - Chairman, President and CEO:
Johan Kroner - CFO:
Ann Gurkin - Davenport:
Chris Reynolds - Neuberger Berman:
Operator: Hello, and thank you for standing by. My name is Tiffany, and I will be your conference operator today. At this time, I would like to welcome everyone to the Universal Corporation Fourth Quarter Fiscal Year 2025 Earnings Call. All lines have been placed on mute to prevent any background noise. After the speaker's remarks, there will be a question and answer session with instructions for participation provided at that time. Thank you. I would now like to turn the call over to Wushuang Ma, Vice President and Treasurer. Please go ahead.
Wushuang Ma: Good evening, and thank you for joining us. Preston Wigner, our Chairman, President and CEO; and Johan Kroner, our Chief Financial Officer, are here with me today. Our agenda is for President Johan to provide an update on our fourth quarter and full year fiscal 2025 operating and financial results and share some strategic thoughts about the company. We will then open up the call for questions. During the course of this call, we will be making forward-looking statements that are based on our current knowledge and some assumptions about the future. These are representative as of today only. Actual results, performance and achievements could differ materially from the anticipated results, prospects, performance or achievements expressed or implied by such forward-looking statements, and we assume no obligation to update any forward-looking statements, except as required by law. For information on some of the risks and uncertainties related to these forward-looking statements, please refer to the reports we file with the SEC and under cautionary statements regarding forward-looking statements in our current earnings press release. Finally, some of the information we have for you today may be based on unaudited allocations and may be subject to reclassification. Our comments today may also include certain non-GAAP financial measures. For details regarding these measures, including a reconciliation of these non-GAAP measures to the most comparable GAAP measures, please refer to our current earnings press release and other public materials. This call is being webcast live and will be available for replay on our website through August 28, 2025. Other than the replay, we have not authorized and disclaim responsibility for any recording, replay or distribution of any transcription of this call. This call is being copyrighted and may not be used without our permission. I would like now to turn the call over to Preston.
Preston Wigner: Thank you, Wush. Good evening, and thank you for taking the time to join us today. I am new to the CEO role, but not new to Universal, having joined the company over 20 years ago. Over the last 20 years, I've seen many stages of our company's evolution, complete with both triumphs and challenges. Our ability to adapt to change and to turn challenges into opportunities have helped shape Universal into the company that we are today. I'm honored to lead such a strong company and excited about the opportunities ahead of us. Our fiscal year 2025 was a good example of how our teams around the world adapted to change and executed our strategies. We had an exceptional fiscal year with revenue and operating income 7% and 5% higher, respectively, versus our strong fiscal year 2024. We navigated weather-impacted tobacco crops in certain origins and historically high green tobacco prices, while at the same time, we continued the development of Universal Ingredients, our plant-based ingredients business. We are also pleased to have declared our 55th annual dividend increase. Our quarterly dividend of $0.82 per share equates to an annualized rate of $3.28 per common share. This reflects our ongoing commitment to returning value to the shareholders through consistent performance and operational excellence. As we will discuss today, fiscal year 2026 is well underway, and it will present new challenges and changes for us. If we can continue to execute our business strategy, I believe we can once again navigate those changes and challenges and pursue the resulting opportunities and continue to strengthen our company for the future. Our business strategy focuses on three pillars: maximizing and optimizing our Tobacco Operations segment, growing our Ingredients Operations segment and strengthening our organization. First, in our Tobacco Operations segment, we continuously look for opportunities to increase our sales volumes and market share, expand services across our customers' supply chain, participate in the evolution of next-generation products and pursue efficiencies in our operations. Universal provides unparalleled access to tobacco that is supported by our farmer relationships, agronomy expertise and sustainability practices and backed by our investment-grade credit rating and access to financing. We are capable of handling all varieties of tobacco, commercializing all stock positions and sourcing and supplying from all major leaf tobacco exporting regions. Reliability, service and predictability are all the hallmarks of our tobacco business. As our customers look to optimize their capital allocation and seek supply chain efficiencies or to expand their next-generation product business, we believe that we have an ability to play an increasingly important role in supporting them while generating additional earnings. I believe that our geographic diversity, local expertise developed through decades of hand-in-hand work with farmers and suppliers and global relationships with multinational customers are the keys to our ability to continue to generate stable cash flow and deliver a unique value proposition for our shareholders. Turning to our Ingredients Operations segment. We intend to seek opportunities to grow Universal Ingredients, both organically and through measured acquisitions to provide our customers with a solution-based portfolio of value-added product offerings. Since we set our strategy in 2018 to build a plant-based food and beverage ingredients business, we took a proactive but deliberate approach in recruiting a management team, making acquisitions and setting and executing commercial strategies. We paced ourselves as we integrated the 3 acquisitions to form a coherent platform, and we made key investments in expanding platform capabilities and capacity. As a result, operating income grew in fiscal year 2025 despite broader headwinds in the consumer products market. And the platform has given us a firm foothold in a very deep multi-segment market. We strive to leverage our strong reputation for quality and service as well as our long-standing relationships with customers to be a premier player in this space. The third pillar of our strategy is strengthening our organization. As a corporation, we will pursue strategies and initiatives designed to support and strengthen our operations for the future. These strategies and initiatives will focus on areas such as efficient financial management, effective human capital management, optimal utilization of technology and operational synergies between our business segments. Ultimately, our goal is to position Universal for long-term success and value creation, and I look forward to sharing more about these initiatives in the quarters to come. I cannot talk about our strategy without talking about our strong regional and local management teams around the world. While our operations span five continents and over 30 countries, the coordination between our executive management and our regional and local management teams makes our decision-making quite nimble. We are not afraid to make the right calls like when we and our South America management team decided to accelerate green tobacco buying in Brazil last year. That decision temporarily increased the level of debt on our balance sheet, but established a favorable cost position and secured the green tobacco needed to supply our customers in a very tight weather-impacted market. These types of decisions and the ability to execute on them are key to our success. I'd like now to hand it over to Johan to provide details of our financial and operational performance, after which I will have a high-level outlook for fiscal year 2026 and share a few additional thoughts.
Johan Kroner: Thank you, Preston. Good evening, everyone. As Preston mentioned, Universal just delivered exceptional results for the full year of fiscal year 2025. Within the fiscal year, we saw accelerated timing for tobacco shipments to some customers, which shifted some sales volume from the fourth quarter to earlier in the year. The results for our fourth quarter, therefore, reflected the effect of such timing shifts. For the fourth quarter of fiscal year 2025, sales and other operating revenue were $702.3 million as compared to $770.9 million for the same quarter in fiscal year 2024. The decrease in revenue was mainly due to lower tobacco sales volumes as a result of the timing shift I just mentioned. Operating income for the quarter was $42.8 million as compared to $68.2 million for the same quarter in fiscal year 2024. The lower operating income was also mainly due to lower tobacco sales volumes. Selling, general and administrative expenses were $9.5 million lower during the quarter as compared to the same quarter in fiscal year 2024, mainly due to lower compensation costs, a better currency comparison, but partially offset by higher legal and professional fees associated with the Mozambique embezzlement investigation. Net income attributable to Universal Corporation was $9.3 million or $0.37 per share on a fully diluted basis as compared to $40.3 million or $1.61 per share for the same quarter in fiscal year 2024. During the quarter ended on March 31, 2025, Universal completed a pension risk transfer transaction, which resulted in a onetime pretax pension settlement charge of approximately $14 million. Adjusted net income, which excludes certain non-recurring items, was $20.2 million or $0.80 per share for the fourth quarter of fiscal year 2025 as compared to $44.8 million or $1.79 per share for the same quarter in fiscal year 2024. Segment operating income for the Tobacco Operations segment was $45.8 million for the quarter as compared to $73.5 million for the same quarter of fiscal year 2024. The lower segment operating income was driven mainly by lower sales volumes, partially offset by better pricing. Segment operating income for the Ingredients Operations segment was $4.4 million for the quarter as compared to a $1 million loss for the same quarter of fiscal year 2024. The higher segment operating income was driven mainly by higher sales volumes. For the full year of fiscal year 2025, sales and operating revenue were $2.95 billion as compared to $2.75 billion for fiscal year 2024. The increase in revenue was mainly due to higher tobacco sales prices, partially offset by lower volumes. Operating income for fiscal year 2025 was $232.8 million as compared to $222 million for fiscal year 2024. The increase was mainly driven by higher sales revenue, partially offset by higher green tobacco purchase prices. SG&A expenses were $305.3 million during fiscal year 2025 as compared to $310.6 million for fiscal year 2024. The lower SG&A expenses were mainly the result of lower compensation costs and better recoveries on farmer advances partially offset by higher legal and professional fees associated with the Mozambique embezzlement investigation and higher sales commissions. Net income attributable to Universal Corporation was $95 million for fiscal year 2025 or $3.78 per share on a fully diluted basis as compared to $119.6 million or $4.78 per share for fiscal year 2024. Net income was lower, mainly as a result of higher operating income being offset by higher interest expenses, the aforementioned pension settlement charge and restructuring and impairment charges related to the consolidation and restructuring of our European sheet operations. Adjusted net income, which excludes certain non-recurring items, was $116.3 million or $4.63 per share on a fully diluted basis for fiscal year 2025 as compared to $127.1 million or $5.08 per share for fiscal year 2024. Segment operating income for the Tobacco Operations segment was $240.2 million for fiscal year 2025 as compared to $222.4 million for fiscal year 2024. The higher segment operating income was driven mainly by higher sales prices, partially offset by lower volumes. Segment operating income for the Ingredients Operations segment was $12.3 million for fiscal year 2025 as compared to $3.9 million for fiscal year 2024. The higher operating income was mainly driven by higher sales volumes. Strong cash flow generated by this financial performance supported our effort to delever. Effective revenue collection efforts and a more normalized green tobacco buying pattern in Brazil for the crop currently being purchased also improved our working capital usage. As of March 31, 2025, our net debt, which is defined as the sum of notes payable, overdrafts and long-term obligations, including current portion, plus customer advances and deposits less cash and cash equivalents was $817 million, $180 million lower than March 31 of last year. Additionally, as of March 31, 2025, our accounts receivable balance was over $100 million higher than at the end of fiscal year 2024. We remain focused on prudently and efficiently managing our working capital to maintain a conservative leverage level and solidify our investment-grade credit ratings. I will now hand it back to Preston to discuss our outlook for the next fiscal year.
Preston Wigner: Thank you, Johan. Looking to fiscal year 2026. On the tobacco side, we see strong customer demand and industry uncommitted inventory remains at low levels. Per our estimate, excluding China, global flue-cured production is expected to increase this current growing season by about 20% and burley production is expected to increase by about 30% as compared to the last growing season. If these anticipated production increases are achieved, we believe the incremental availability of tobacco will move the market from the recent undersupply position towards a more balanced or slight oversupply position. On the ingredients side, during fiscal year 2025, we completed our major expansion project in Lancaster, Pennsylvania, which added an industry-leading combination of extraction, blending, aseptic packaging and other capabilities. We also invested in strengthening our sales, marketing and product development teams and focused on creating value across the entire platform. The platform level support enables us to deliver unique customized products to our customers. Entering fiscal year 2026, we are energized by strong customer interest in these new innovative products as we shift our focus from platform building to organic growth. I would be remiss not to highlight some of our key accomplishments and sustainability as well. As the largest global leaf tobacco supplier that directly contracts with over 175,000 farmers around the world, sustainability has been deeply embedded in our DNA. To us, a strategic part of our business is our commitment to setting high standards, promoting a sustainable supply chain and providing transparency about our sustainability efforts. Sustainability is good for our business and represents good stewardship in the communities in which we operate. Finally, I'll end my remarks with a note about our prior filing delays related to our investigation in Mozambique. I'm pleased that the investigation is complete and our filings have been made, and the embezzlement did not and is not expected to have any material impact on our financials. As an organization, we learned from the matter, and we implemented various initiatives to improve our processes and internal controls. We believe these incremental improvements will make us an even stronger and better company. Operator, please open up the call for questions.
Operator: [Operator Instructions] Your first question comes from Ann Gurkin with Davenport & Company. Please go ahead.
Ann Gurkin : Good evening, everybody. It's great to talk to you all. Congrats to Preston. Congrats on completing the investigation or at least filing the appropriate paperwork. And congrats on a very excellent fiscal '25. I wanted to spend a few minutes thinking about fiscal '26 and see what you can share, beginning with SG&A. How should I think about SG&A for fiscal '26?
Johan Kroner: Ann, I'll take that. We can't provide forward-looking guidance on our SG&A run rate, but I can help you understand some of the components of our SG&A. Fiscal year '25 full year SG&A was about $305 million, down $5 million versus prior year. There were a couple of moving pieces, some one-offs. There's legal and professional fees, of course, were up related to the Mozambique investigation. And we had some costs associated with value-added tax settlement in '24. So there's always these moving pieces. Other variances may be related to some specific aspects of our operations. For example, we had higher recoveries of farmer advances during fiscal year 2025 due to strong market demand and pricing and some higher commissions due to a shift in customer mix. Please also keep in mind that foreign currency comparisons could also impact SG&A. Overall, as we look to strengthen and grow the corporation, we may invest in additional SG&A to build capabilities, while at the same time, we seek opportunities to drive efficiencies and reduce costs.
Ann Gurkin: So are you going to have ongoing legal expenses that continue in fiscal '26 for the Mozambique situation?
Johan Kroner: Not with regard to the Mozambique investigation. No, that investigation has been completed.
Ann Gurkin: That's complete. Okay. Great. Okay. And then switching tobacco, very strong margins, nice business in fiscal '25. I guess in talking to tobacco companies, customers, it looks like demand is strong. They're talking about lower -- expecting lower tobacco cost moving forward. So that raises the question of their expectations their inventory levels versus the likely move towards a more balanced tobacco leaf global supply given the forecast. So how should I think about margins and the ability to price and ability to drive growth in tobacco segment in fiscal '26 versus fiscal '25?
Preston Wigner: Yes, that's -- you've touched on the key issue. And as we go from undersupply into a balanced market with larger crops and prices expected to come down. I think we're aligned with our customers in that viewpoint as well. But as those crops grow, we're trying to think through, and of course, we coordinate with our customers to find out what their indications are, and we try to do that as far in advance as we can. So we know what we need to be growing with our farmers. But an open question is what are they going to do with their durations? Are customers going to build them back up? Are customers going to continue with where they are and allocate resources in other areas of their company, which is for capital allocation strategy is on the minds of some of our customers. So it's still too early in the season to tell, but we know that there is still strong demand this year as we go into this market, even though we have really big crops coming in. We think the lower prices will help, and we'll be able to meet our customers' demands. It's just -- at this time, it's a little difficult to know what the scope and extent of those demands are going to be until we really have a better understanding from all of our customers of how they're going to manage those durations. Some of them, those durations got very low. So we benefited last year. And even though it was a historically high green price crop in lots of origins and short crops in some places like Brazil, we were able to help them and source the tobacco that they needed and they paid high prices for those. And this year, they're expecting better pricing, and we would expect better pricing as well. But we really have to have a better understanding of what their real needs are going to be throughout the whole crop season in all of these areas, starting with Brazil and then into Africa and then around the world.
Ann Gurkin: Great. Do you anticipate growing volumes for the tobacco business in fiscal '26?
Preston Wigner: Again, it's going to -- to me, it's going to depend on what they're going to do with those durations. That would be the variable for me. They had -- we had a slight decrease in volume last year, even though really strong demand. And even though a place like Brazil is going to have a much larger crop, doesn't mean automatically that everybody is going to be buying 20% more. We're just going to have to see. Some of them are certainly going to increased durations and some, I think, are going to live with the tighter durations and rely on us to give them opportunities, especially maybe later in the crop year, where in the crop season, where they might be able to come in if there's excess tobacco that we can buy on the market and help them where last year in undersupply in tight markets, we couldn't all the time.
Johan Kroner: If I may add, Preston, all things being equal, and crops are larger, we're going to buy our share. But we do not buy on a speculative basis. So again, this is where the customer angle comes in. But under normal circumstances, we buy our share, and we have the contracts with our farmers. If the farmers grow more, that's what we're buying, but we will end up with some additional tobacco. It's cheaper, so that will help us a little bit. But we do expect volumes to go up a little bit and -- but we have to be able to place, and that's where the big question is at the moment.
Ann Gurkin: And what are Universal's uncommitted inventory levels right now, tobacco inventory?
Wushuang Ma: We're currently at 20% as of March 31, 2025.
Ann Gurkin: And worldwide uncommitted leaf inventories?
Wushuang Ma: So the estimated unsold flue-cured and burley stock was 22 million kilos as of March 31, which is up 11 million from December 31.
Ann Gurkin: Okay. And how does the U.S. crop look right now, tobacco crop?
Johan Kroner: Too early, Ann.
Preston Wigner: Yes, it's a little too early.
Ann Gurkin: Too early. Okay. Okay. Switching to Ingredients, nice to see the improvement in the operating profit versus 2024 for the Ingredients segment. How do I think about the profit outlook for the Ingredients segment? And are you still targeting Ingredient -- profit for the Ingredients segment to total 10% to 12% of EBITDA? Is that still a long-term target for that segment?
Johan Kroner: Well, we put that target out a while back, Ann. So we hit it and then we moved on. Again, we have made some significant investments, and that's where we need to deliver. And that's what we have been saying the entire time that by putting in these additional capabilities and all these things that we can do, now the sales guys need to do their thing. We ramped up the commercial department. We ramped up the R&D. There is a lot of costs associated with that in the numbers, which you can see in '25 and before. So you're going to see the fruits of this going forward, which is now we just need to sell it. And we need to margin up. Some of these things, we don't like to be in the commodity business. We like to be in the specialized stuff, and that's why we did what we did and we made the significant investment in Lancaster, Pennsylvania.
Preston Wigner: Yes. We were certainly pleased for the year with increased sales, increased volumes for the platform and ending the quarter on a strong note. And our goal is to grow -- that's our strategy, grow Ingredients. And we expect to do that. We need to leverage as much as we can with our platform resources, get as much value from those resources as we can. It's been paying off this year, and that's our goal for next year and in the continuing years.
Ann Gurkin: Can you quantify the increased sales due to anticipated tariffs? I assume some business shifted into Q4.
Preston Wigner: Yes, there was some -- I'd say there was some modest activity in the fourth quarter in anticipation of tariffs. And tariffs, it depends on what time of day you want to check the news to know what's going to tariffs. But we would expect with those types of challenges, we'll have opportunities. And we're working through those. We've seen tariffs in the past. It's really going to be a focus on what the tariffs really are. And are there other areas that we can also source products from to mitigate maybe additional costs with tariffs and have a more diversified supply base to mitigate any impacts like that.
Ann Gurkin: So about 10% of the sales in Q4 would have been due to timing of tariff purchases?
Preston Wigner: No, not that high. No.
Ann Gurkin: Not that high.
Preston Wigner: No, no.
Ann Gurkin: Okay. Okay. And then can you talk about tariffs? What is caught up in tariffs for you all? What -- both on the tobacco side and the ingredient side? Is there anything?
Preston Wigner: Yes. I guess it sort of depends on what...
Ann Gurkin: As of today...
Preston Wigner: If we're thinking of tariffs with China, that's going to impact how much, if anything, the Chinese are going to buy in the U.S. For us, that's not a large part of our business. We handle some processing for them. So for the Chinese side, that's really -- for the U.S., maybe volumes go down in the U.S., it gives us opportunities in other areas where they're going to shift their needs because they do have requirements. And we worked very hard last year to meet those requirements in tough markets, and we'll do the same this year as well. I think on the ingredient side, it's for the Chinese sourcing we have, which is really our dehydrated vegetable company, Silva International. That's going to depend on the level of tariffs where they end up. And as we saw that customers were buying forward a little bit, and we're working on additional areas of supply in case the tariffs go up. If the tariffs come down, we're in good shape. We also carry as part of our strategy, a little longer inventories at Silva with our products. So we've got some breathing room with that as we navigate the changes. If tariffs apply to other origins, that's really going to impact purchases that our U.S. customers have from our operations around the world. And we're keenly aware of our commitment to our customers to help them any way we can. And we'll work with them. If there are unexpected tariffs and origins that they typically would buy from, we work with them and help them in other origins as best we can. So it's just a tough one to predict even today. It's -- tariffs are off, tariffs are on, tariffs are stayed. We're just going to wait and see. But we've dealt with these types of challenges in the past, whether they're tariffs and other things. And we always make a plan, and we will produce results despite the challenge. There's always an opportunity with every challenge.
Ann Gurkin: So are you buying products from China that has the 145% tariff on it? Or did you build enough inventory to not have to buy that at that moment? I know the tariffs drop now in the 30%, but where are you in that cycle, sorry?
Preston Wigner: Yes. I'd say I don't think we're buying anything at that level. It would just be too difficult to move. I think we bought at some strategic times to avoid the tariffs or to have minimal tariffs. And that plus our inventory, we're fine. But we'll have to see how long the tariffs last also.
Ann Gurkin: And then you talked about recent increases in raw material prices for certain traditional products. What does that mean? I'm sorry. I don't know what that is.
Preston Wigner: So for our Ingredients business, for example, there's been historically low prices for apples, which impact FruitSmart, our operation in Washington on the fruit processing company and on vanilla or Shank's, which is one of their core products. Those sales have been good. It's just historically low levels, which impacts our dollar margins on that business. So we've got good sales. We've got good margin percentages. But of course, if your raw material prices are low, it's impacting your absolute dollar margins.
Ann Gurkin: Can you grow margin on the ingredients business in fiscal '26 versus '25?
Johan Kroner: And that's again why I said that we need to margin up on these things. So that's where we -- our goal is to improve the margins on that business. And that's why we did what we did in Lancaster, Pennsylvania by creating something that is a differentiator for us and for the market.
Preston Wigner: Right. And add on to that, the big part of our strategy in growing ingredients is to grow volume and grow scale. We've got a platform investments in product development and in sales and marketing. And the more we scale up, the more we spread those costs across our units, and we become even more competitive and then we've got better pricing and better margins as well. We get the return that we need for those investments.
Ann Gurkin: Have you invested in the sales force to support growth to fill that platform?
Preston Wigner: Yes.
Ann Gurkin: Great. That's great. And then can I just ask 2 more things. One about the $100 million share repurchase program and you didn't buy any stock back in the quarter. What are your thoughts on using that program? You ended the year with, I think, $260 million in cash, and you've done a lot of work on reducing working capital needs or managing working capital. How should I think about that opportunity to buy back stock?
Johan Kroner: Well, according to the capital allocation strategy, and we have some other things that are more prioritized at the moment. So it's out there. If the timing is right, we will use it. But right now, we would like to delever more and we want to do some other things, make some investments, strategic investments if the opportunity arises. So all those things are before we start buying back stock big time.
Ann Gurkin: Okay. And how do I think about interest expense for '26 versus '25?
Johan Kroner: Interest expense, we have to work on clearly, because of the pricing last year, the early buying in Brazil, that was elevated. Working capital was up. This year, it's certainly better in Brazil. It's a more normal buying season, it appears. So that will help. We set on quite a bit of cash at the end of the year. So all of that, the goal is to bring interest expense down.
Ann Gurkin: Great. And then CapEx for fiscal '26, it looks like it was $62 million in '25. What's '26?
Johan Kroner: Yes. Currently, we're looking at between $45 million and $55 million.
Ann Gurkin: Okay. Okay. Thank you all for the time. Appreciate it very much.
Preston Wigner: Thank you, Anne. You don't know how much I was looking forward to talking to you today.
Ann Gurkin: You know I was. Thank you.
Operator: Your next question comes from Chris Reynolds with Neuberger Berman. Please go ahead. Mr. Reynolds, your line is open.
Chris Reynolds: Thank you for taking my call. I wanted to see if you can provide some general comments about nicotine pouches. And obviously, there's been explosive growth there. And I'm wondering how that affects your demand for tobacco leaf. It's my understanding that these products use nicotine from tobacco leaf, but I guess there's always a possibility you could use some sort of synthetic nicotine. But based on sort of what you're seeing right now, is this something that potentially increases demand for leaf tobacco? Or are these products going to reduce demand for tobacco leaf? It's hard to figure that out.
Preston Wigner: Yes, Chris, I understand. It is hard to figure out. For our customers, this is part of their portfolio. They've got their traditional products. They've got their next-generation products, some use tobacco pouches, some use nicotine derived from tobacco. The way we see it, there are opportunities in nicotine. It is a commodity at the moment, and it is being produced in a number of places around the world. We, of course, through AmeriNIC we further refine it here in the U.S. But it's really driven by cost and how you can produce it at the lowest cost and where that tobacco is at the lowest cost, which, for example, is overseas and not currently really in the United States. For us, we still see strong demand for our leaf business. And we support our customers in all of our portfolios. And part of our strategy is to participate in their next-generation product categories. So if they use leaf, we want to be in that leaf. And if they use nicotine in the most efficient and effective, cost-effective way for us where it makes sense, we want to participate in that, too. That nicotine market is pretty volatile and it's very cost sensitive. And so we keep an eye on it. We participate in it, but it's hard to predict where it's really going longer term and how it might change. And to your point, what role synthetic nicotine might play long term in the market.
Chris Reynolds: And one other follow-up question. Let's just say you have a customer that wants nicotine derived from your tobacco leaf and you do some form of processing to extract it. What happens with that tobacco leaf afterwards? Is it something that's just discarded? Or is there another use for it?
Preston Wigner: No, I think in that -- I think in most of those processes, and we don't extract directly from leaves ourselves. I think in that process, what's left is not used. It's waste. You can't reuse it.
Chris Reynolds: Okay, okay. Well, thank you for answering those questions.
Operator: There are no further questions at this time. I will now turn the call over to Preston Wigner for closing remarks.
Preston Wigner: Thank you, Tiffany. Thank you all for taking the time to join us today. We look forward to connecting again during our next earnings call. Thank you.
Operator: Ladies and gentlemen, that concludes today's call. Thank you all for joining. You may now disconnect.